Operator: Good morning, ladies and gentlemen, welcome to our First Quarter 2025 Result Conference Call of ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtlander. Please go ahead, sir.
Dirk Voigtlander: Good morning, ladies and gentlemen, and welcome to ProSiebenSat.1's Q1 2025 Results Conference Call. Today's conference call will be hosted by Martin Mildner, CFO of ProSiebenSat.1. Martin will first take you through the group's financial and the operational performance of the first quarter 2025. He will conclude his presentation with comments on our outlook for the full year. The presentation will be followed by a Q&A session. As always, you can find the presentation, the quarterly reports and all other documents relating to our quarterly figures in the Investor Relations section of our corporate website. With this, I now hand over to Martin.
Martin Mildner : Thank you, Dirk. Good morning and welcome, everyone, also from my side. Thank you for joining our Q1 2025 results call. So before we go into details, let me give you a quick overview of our key financial highlights in the first quarter, which we summarized on Page #4 of our presentation. The economic environment continued to be very challenging in the first quarter. We still achieved group revenues of €855 million, almost the same as last year. At the same time, we implemented strategically important portfolio measures. In our Entertainment segment, we observed a revenue decline of 2% in Q1. However, it is important to note that the decline in TV advertising revenues was partially offset by growth in Joyn, Distribution and Content revenues. This reflects our continued focus on diversifying our revenue streams and increasing our digital presence. In contrast, our Commerce & Ventures segment again experienced robust growth, with revenue increased by 11% in Q1 2025. This growth was primarily driven by the Beauty & Lifestyle vertical, particularly through flaconi. Flaconi continues to outperform expectations and contribute significantly to our overall revenue. Our adjusted EBITDA for the first quarter stands at €44 million. This reflects the anticipated seasonality throughout the year. We faced a weaker start to the year in the DACH advertising business, but we expect improvement as the year progresses, aligning with our strategy initiatives. And last but not least, we have to state that we are not only assuming in the second half of the year a movement to a better consumer sentiment, but as a consequence, we are also expecting that the market conditions will improve again in Germany. Having said this, we are so far developing in line with our given range of our full year targets, so we can hereby confirm our outlook which we gave to you at the end of March. So with that, let me now guide you through the financials for the first quarter of the year. Although the macroeconomic environment in our core market remains challenging, our first quarter results were in line with our expectations. Group revenues amounted to €855 million in the first quarter, which is a solid result given the macro and ad market environment. As expected, Advertising and Dating & Video revenues were down year-on-year. But fortunately, however, large parts of our Commerce & Ventures portfolio continue to grow. On a currency and portfolio adjusted basis, group revenues declined by 2% in the first quarter. Our group adjusted EBITDA decreased by 39% to €44 million. This was also in line with our expectations and was mainly driven by an anticipated decline in high margin advertising revenues following strong growth in the prior year. Adjusted net income decreased by €22 million to minus €14 million and reflects the negative adjusted EBITDA development. Adjusted operating free cash flow decreased to minus €44 million in the first quarter, reflecting on the one hand the negative development of adjusted EBITDA, but was on the other hand also driven by our announced investment in programming assets. So let's turn to Page 7 and take a closer look at our Entertainment business. The Entertainment segment recorded a 2% revenue decline in Q1 ’25, both on a reported and a portfolio and currency adjusted basis. A key factor was the development of advertising revenues in the DACH region. Here revenues decreased by €27 million, mainly to a weak performance in the linear TV advertising business. This also reflects the late timing of Easter in April this year, which was last year in March. I will go into the development of the advertising revenues in more detail later in our operational update. Digital & Smart advertising DACH revenues declined slightly by 2%. The decline in revenues from other digital advertising offerings due to the overall challenging advertising environment was largely offset by the dynamic growth of our streaming platform Joyn, which grew by 39% in the first quarter. Distribution revenues were up 5%. As you know, the distribution business is very profitable and strategically important as its revenues are not affected by the advertising market. Another highlight was the growth of our content revenues, which increased by 29% in the first quarter. This was driven by our production companies in the UK and Germany. Adjusted EBITDA in the Entertainment segment decreased by 49% to €23 million. This decrease was mainly driven by the decline in high-margin TV advertising revenues, which was only partially offset by other entertainment businesses. Please turn to Page #8, where we are now coming to our Commerce & Ventures segment. Our Commerce & Ventures segment achieved 11% revenue growth in the first quarter, both on a reported and a portfolio and currency-adjusted basis. This is a strong result that underlines the robust and the potential of our business models in this segment. Only the advertising business of SevenVentures and SevenGrowth showed a weaker performance with a decline of 9%, which, as also in the Entertainment segment, is related to the generally difficult advertising environment. Looking at our Digital Platform & Commerce businesses, our Beauty & Lifestyle business with flaconi was one of the key revenue drivers again. Despite general consumer restraint, flaconi was in the first quarter of 2025 not only able to achieve a significant double-digit revenue growth again, but also to further improve its EBITDA margin. Revenues in the Experience segment, i.e. Jochen Schweizer mydays, also increased by €4 million due to the change in its business model in the fourth quarter of 2024. In contrast, the revenue contribution from Verivox declined slightly after the comparison portal benefited from an expectationally strong upturn in the energy market in the same quarter last year in 2024. Despite the announced sale of Verivox to the Moltiply Group in March, please note that the generated revenues of Verivox are still fully included in our first quarter results, whereas, on the other hand, the effects of the deconsolidation of this sale are also fully taken into account in the first quarter of this year. I will discuss the details of the sale of Verivox, but also our agreement with General Atlantic in more detail later in this call. Adjusted EBITDA decreased by 6% in the first quarter of 2025 due to a less favorable revenue mix in the segment. In the prior year, Verivox made a significant contribution to earnings due to the strong revenue recovery in the energy markets mentioned before. However, the decline in earnings was largely offset by growth in the other companies in the segment. Let's now have a look at the performance of Dating & Video on Page 9. In the Dating & Video segment, we recorded a 22% decline in revenues to €84 million in Q1. Both the Dating & Video businesses contributed to this decline. On a currency and portfolio adjusted basis, segment revenues decreased by 23% in the first quarter of 2025. Dating revenues decreased by 18% in the first quarter of 2025, mainly due to a weaker performance at eHarmony, particularly in the US. Video revenues declined by 25% in the first quarter of 2025. Seasonal effects in the US due to a delayed tax season and lower usage led to a decline in sales of virtual goods and advertising revenues. Adjusted EBITDA amounted to €11 million, a decrease of 34%, mainly driven by Dating businesses where lowered marketing spends could not fully compensate for softer consumer intake. In the Video business, cost adjustments and efficiency measures helped partially offset lower revenues. Overall, we cannot be satisfied with the financial performance of our Dating & Video segment. Following the departure of our former CEO at the beginning of this year, we decided to refocus the company. Our short-term goal is on really important efficiency and cost-saving measures to improve our adjusted EBITDA. But even more importantly, we want to raise and revise the current business model to be able to return to a sustainable revenue growth in the near future. While in the past ParshipMeet Group’s lack of growth has been influenced by the current unfavorable market conditions, new legal requirements and regulations, as well as a general consumer restraint, we think that ParshipMeet Group needs a turnaround strategy and fresh business ideas in general. This was a clear reason why we decided to hire Matthew Gain as the new CEO of ParshipMeet Group with the effect of the 1st of March of this year. Matthew previously worked for Amazon Audible, and we strongly believe that he is the right person to bring ParshipMeet Group back on track. Under his leadership, the management is currently developing a turnaround strategy, in particular for our dating brands. It is focused on refining target audiences, product experience, and more efficient marketing approach. So let me continue with comments on our financial leverage and net debt development on Page #10. At the end of the first quarter, the group's net financial debt amounted to €1,429 million which represents a reduction of €124 million compared to the end of Q1 last year. This development reflects the cash flow inflow from the sale of Verivox combined with an expected lower operating cash flow in the first three months of the year 2025. The financial leverage ratio was at 2.7 times at the end of the first quarter and therefore within the expected range of 2.5 times to 3.0 times for the financial year 2025. However, please note that this leverage calculation still includes the adjusted EBITDA of Verivox, but also includes the cash proceeds from the sale of Verivox itself. Excluding Verivox, adjusted EBITDA contribution for the last 12 months, the pro forma leverage ratio would amount to 2.9 times. On the right hand of this slide, you can see ProSiebenSat.1’s debt maturity profile. As you can see, we use a variety of debt instruments to finance our group. As we already communicated in the past, we remain strongly focused on further reducing our liabilities and addressing maturities at an earlier stage. Let's now take a closer look at our operational performance, starting with our core business, Entertainment and Joyn. In the past three years, we have been facing a challenging economic environment. The chart on Page 12 shows our expected advertising revenue development for each quarter of this year. This reflects not only the expected slight economic recovery throughout the second half of the year, but also the corresponding figures for the previous year. In ’24, the first quarter was the strongest, showing a 5% increase. Both the second quarter and the first half of the year experienced even also growth. In contrast, the third and fourth quarter last year were marked by significant restraint in advertising investments from our customers, partly due to political uncertainties, but surely also due to the general sentiment in the world that Germany is currently the Sick Man of Europe, which has a clear effect on the willingness of our national, but also international clients for brand marketing investments in Germany. But nevertheless, we think and expect that we will see in the second half of this year a largely opposite trend. We assume that the first half of 2025, also due to the ongoing challenging economic situation, will fall below the previous year figures. But for the second half, we currently anticipate not only compensating for the decline in the first half, we also expect, particularly in this crucial fourth quarter, to achieve an advertising revenue contribution that should lead to slight growth in DACH advertising revenues for the entire year 2025. Despite the weak start to the year, we still expect slight growth in the low single-digit percentage range for the full year, which would roughly offset half of the decline in the previous year. So please turn to the next page. Content is still king. Our program investments are strategically aimed at developing formats that achieve both above-average viewer market share on TV and high streaming demand on Joyn, making them platform-independent. In the first quarter, we were quite successful to achieve an overall improvement in viewer market shares within the group compared to the previous year. This was driven particularly by Germany’s next Topmodel, with Heidi Klum, and Wer stiehlt mir die Show with Joko Winterscheidt. Various other highlight formats also contributed to this. A selection is shown on this slide. All of these shows are performing above their slot average. The ranking on Joyn further demonstrates that these TV formats have a very high usage also on Joyn, as evidenced by their ranking in the Top 25. In this context, I would also like to highlight that all formats shown on this slide have a strong digital usage share on Joyn of up to 44%. Daily formats are especially important to us as they lead to high recurring usage on Joyn, even if they generally have lower viewer market share compared to flagship formats like Germany's next Topmodel. For this reason, we continue to invest in daily formats, which also constitute a significant portion of the planned increase in program costs for the current financial year. An outstanding example for that is our still relatively new and fresh daily Soap Die Landarztpraxis, in English, the County Doctors' Practice. As shown on the previous slide, this format currently ranks seventh on Joyn and is among the most frequently streamed formats. We are particularly pleased that the format has performed consistently well since its first season in 2023. We have achieved improvements in all key performance indicators, including video views per episode, viewer market share among adults aged 14-59, and especially the target group of female viewers aged 14-59. Last year, we generally focused the programs on SAT.1, much more strongly on this female core target group, and it's definitely paying off. At the moment, we are working on several further daily formats to generate more loyal TV viewers and Joyn users. One current example in the SAT.1 show Ein Hof zum Verlieben, in English, A Farm to Fall in Love With, which we started shooting last year. Our content lives through our many talents. That's why we value long-term collaborations. In March, we have extended our exclusive contract with Joko & Klaas for another five years. It is great to see that formats at both of them work just as well as their solo formats. The flagship programs are still being Wer stiehlt mir Show and Joko & Klaas vs. ProSieben. In addition, we have also acquired or extended a number of attractive sports rights. This includes, for example, the FIBA Women's Basketball World Cup in 2026 and the Men's Basketball World Cup in 2027, the UEFA U21 European Championship, and the IIHF Ice Hockey World Championship this year. Furthermore, we have secured nine DFL Bundesliga matches per season for the coming years. In addition, we announced yesterday that we will also show the soccer games of Borussia Dortmund and Bayern Munich, the two most attractive football clubs in Germany, at the FIFA Club World Cup during this summer. Let's now have a look at the Joyn performance in Q1 on the next page. So, Joyn has continued its strong growth at the beginning of 2025. All reported KPIs show significant increase in Q1 ’25. With 8.3 million users in the first quarter, Joyn has substantially expanded its reach. The exceptional growth in Video Viewtime by 48% also indicates that we have not only gained more users, but the time our users spent with Joyn as our superstreamer has also increased significantly. Looking at the officially reported data of the German viewing panel provider AGF, Joyn again broke records in April, reaching 10 million viewers for the first time. This represents a strong growth of 80% compared to the same month last year. Reality formats, a selection of which is shown on the right side, have contributed to this growth alongside the previous mentioned formats. So, let's now move on to Distribution on the next page. Our distribution business continues to benefit from our high program investments. Due to its high visibility and profitability, it represents an important pillar within our Entertainment business and for the group overall. In the first quarter, we recorded further revenue growth of plus 5% to €53 million compared to the previous year. Additionally, we renewed a significant distribution agreement with the satellite operator SAS Astra. Besides an agreement on transponder reach, the contract also includes an agreement to integrate Joyn into the HD Plus offering. And another milestone was the agreement with German premium car manufacturer Mercedes-Benz to integrate Joyn into five of their car models. After BMW, this is the second significant deal for integrating Joyn into a car entertainment offering. Let's continue on the next page. Joyn is positioned as a premium content aggregator. It includes not only the extensive program offerings of the ProSiebenSat.1 Group, but also additional content from third-party providers. And this is not only related to their VOD content, but also with respect to popular live TV channels like Eurosport or Home & Garden TV. In the first quarter, we renewed our agreement with Paramount regarding the live TV channels MTV, Comedy Central, and Nickelodeon. In addition, we also achieved a contract extension with Warner Bros. Discovery for their TV channel portfolio. Newly added is the news channel CNN, which further completes Joyn's news offering. Moreover, we are also successful to enter into broader cooperation agreements with third-party providers, where we will be able to monetize not only their VOD content, but also their live TV channels with advertising displays, which become additional revenue growth drivers not only for us, but also for our partners in the future. These two contracts will further contribute to establish Joyn as a leading free superstreamer in the German-speaking region. Now let's come to the next slide, where we'll show you the effect of the sale of Verivox and our transaction with General Atlantic. In conjunction with the sale of Verivox, ProSiebenSat.1 Group acquired General Atlantic's entire minority shareholdings in ParshipMeet Group and the NuCom Group, excluding flaconi. As part of this transaction, General Atlantic will receive, among others, a cash component of €10 million, 5.9 million ProSiebenSat.1 treasury shares, and a fixed exit participation amounting to €50 million to be payable upon ProSiebenSat.1 exit from the ParshipMeet Group. Part of the agreement is also that General Atlantic will hold its minority stake of 28.4% in flaconi directly in the future and not anymore through NuCom Group. Meanwhile, ProSiebenSat.1 will maintain a preferred equity interest of approximately €95 million in flaconi as of the year-end of 2025, along with a 71.6% majority stake. That means that all decisions relating to flaconi, the remaining assets in the NuCom Group, as well as in the ParshipMeet Group, now lie solely with us, ProSiebenSat.1. This gives us much more flexibility from a timing as well as from a negotiation perspective in the ongoing and future sales processes of these assets. In addition to the sale of Verivox, we anticipated further cash inflows from the divestment of our equity stakes in Urban Sports Club, a sports and fitness platform, and in About You, an online fashion retailer. Our media for equity agreements with both companies have successfully increased their brand recognition, accelerating their journey to become even faster a relevant and well-known player in the respective markets. This clearly demonstrates the effectiveness of our media for equity business model. TV continues to play a significant and important role in helping startup companies to create value quickly. This said, ProSiebenSat.1 entry into Urban Sports Club in 2021 has significantly accelerated the growth of Urban Sports Club. Now we are benefiting from a considerable increase in value of our minority stake. As a result, these transactions are accepted to bring in additional funds for ProSiebenSat.1 in the mid-to-high double-digit million euro range. Combined with the proceeds from the sale of Verivox, our net debt will benefit from these transactions by over €250 million. As mentioned, this success underscores the valuable contribution of our media for equity approach. That is the reason why we continue to see SevenVentures as an important strategic and integral part of our core business and a vital driver of revenue and earnings. Let me now make a brief deep dive into the impressive performance of flaconi, which continues to demonstrate robust growth momentum. In Q1 2025, flaconi achieved double-digit revenue growth compared to Q1 2024, while also substantial improvement in its adjusted EBITDA. This top-line growth is driven by strong organic traffic development and a highly active consumer base alongside improvements in conversion rates. Flaconi's growth has been further accelerated by strong performance across all categories. Additionally, profitability has been enhanced through operational excellence measures and marketing efficiencies. Notably, flaconi significantly outperformed the German online beauty market, which grew by just 1% and increased its market shares by 5 percentage points in Q1 2025 compared to Q1 2024. These achievements underscore flaconi's strategic position and its ability to capitalize on market opportunities. However, it also shows that the beauty business is becoming more and more relevant for the online business, contrary to the long-held view that the beauty business is merely linked to brick-and-mortar business models. It also reinforces our confidence in its continued success and potential for a value-maximizing sale in the future. We are still in talks with potential buyers on this asset. However, as you know, the current market conditions and therefore the M&A environment are still more than difficult at present. We can only sell the asset at a fair price that reflects a fair market perspective. Otherwise, our shareholders would rightly ask why we are destroying value by selling this asset for a valuation below market expectations. Of course, it's always a thin line and it needs a balanced view of valuation aspects and strategic elements while focusing on our core business in the Entertainment segment and our general financial framework considering our refinancing situation in 2027. But given our described needs and challenges on the one hand and flaconi's excellent performance on the other hand, we are still very confident that we will achieve all of these goals within this year. Let's now turn to the financial outlook for fiscal year 2025, which we adjusted due to the sale of Verivox in March. Given the challenging macroeconomic environment in the DACH region and the volatility in the advertising business, ProSiebenSat.1 anticipates revenue impacts in the first half of 2025, with improvements expected later in the year. We are targeting consolidated revenues of approximately €3.85 billion, accounting to the sale of Verivox, which previously contributed around €200 million. Compared with the pro-forma figures for the previous year, this corresponds to group revenues growth of around 2%. Despite a slight decline in TV advertising revenues, we expect dynamic growth in Digital & Smart advertising, leading to a 2% growth in Entertainment advertising revenues in the DACH region overall. For adjusted EBITDA, we forecast €520 million with a variance of plus minus €50 million, reflecting the impact of the Verivox sale. Adjusted net income is projected at €215 million. Adjusted net income will benefit from an expected improvement in net interest income of approximately €4 million. The group's financial leverage ratio is expected to remain between 2.5 times and 3.0 times by year-end. This said, that it remains our goal to reduce financial leverage to our general target range of 1.5 times to 2.5 times net financial debt-to-adjusted EBITDA through improvements in profitability, cash generation and portfolio measurements. ProSiebenSat.1 remains committed to create value through strategic investments in disciplined financial management. Recent measures to advance digital transformation are expected to positively impact revenues and adjusted EBITDA within this year already. As a conclusion, we therefore confirm our outlook for the financial year 2025, needless to say that our outlook does not include any potential impact of our portfolio strategy, particularly with respect to potential divestments. Thanks for your attention. We now look forward to your questions.
Operator: Thank you. [Operator Instructions] We will take our first question Julien Roch from Barclays. Your line is open. Please go ahead.
Julien Roch: Yes, good morning. Thank you for your presentation. At trends in Q2, you said the trends in Q2 for traditional advertising in Germany were worse than in Q1. But your chart on Page 12 hints that Q2 would be better than Q1. So can we get some color on maybe April and May and where do you think Q2 will end up versus the minus 7 in Q1? That's the first question. The second one is, if you are unfortunately wrong and the second half does not rebound as much as expected, and you miss your ad target, how much more cost can you cut? So, if you miss advertising by 2 percentage points, i.e. €36 million, how much would EBITDA be down? And then the third question is on Dating. New CEO, new strategy, when will you see growth again? If the new CEO is successful, are you thinking Q3 or Q4 this year or Q1 or Q2 next year? Thank you.
Martin Mildner : Julien, thanks a lot for your questions. So, with respect to your first question of the development of Q2, as you can see from the charts you are referring to, we think that Q2 will be probably a little bit better than the Q1, but not a lot. And you know that we are still fighting against good comps in the Q1 and Q2 in the last year. But nevertheless, we are thinking that we are probably a little bit in the line with Q1 this year, which you can also see, as I said, from the chart. Nevertheless, we think April and May are still challenging, but we assume that already in June we see a slightly better performance. Also, with respect to our content, which we will show in June, for example, as I said, that we have the FIFA World Cup for the Club World Cup Championship, which brings us probably more audience and therefore more revenues as in the last year. Remember that in the last year there was a European Championship, which we were not able to display it. So, therefore, this is my view on Q2. Challenging, but with some hope in June. With respect to the second half, I think it is of course currently too early to judge, but we are quite clear that we see an improvement in the macroeconomic environment, that we see better investments in the German market due to the new government in Germany and the first regulations they put in place. So, therefore, we are quite optimistic. And you have to see that we lost a lot in the second half last year, so that we are not fighting against such strong comps as in the first half of the year. So, therefore, we are confident that we can still give you the outlook that we are -- in line with our guidance. So, therefore, this is my view on the second half. And, therefore, we are currently not giving any impacts. If you are asking for what kind of cost reductions we do, in fact, we are still thinking that we are in line for it. And you know that we announced a huge cost reduction program by reducing our headcounts by 430 people. So, therefore, this is our view on the second half. On the Dating & Video segment, of course, a strategy has to come into place. We are, as I said, really not satisfied with the development, especially now in the Q1. In fact, we thought that we see already a better improvement on the business. Whether this will come already in the third and fourth quarter of this year, I do not know. But at least we saw some direct measurements from Matthew, which has at least an impact on the EBITDA. But if you are referring to coming back to a growth on the revenue side, I would probably assume that this will be not before the Q4 and most likely, maybe, as you said, more in the Q1 next year.
Julien Roch: Thank you.
Operator: [Operator Instructions] We will take our next question, Conor O'Shea with Kepler. Your line is open. Please go ahead.
Conor O'Shea: Yes, thank you. Thank you for taking my questions. Three questions as well. The first question, just to clarify on the comments on Verivox, in the first quarter, that was fully in for the three months. So therefore, the decline in the Consumer Advice business year-on-year was a comp effect or a softer market? And also just to confirm, that you were expecting Verivox to generate about $30 million of EBITDA in 2025, just reading across from your adjusted guidance. If you could just confirm those two? Second question, just on the Digital & Smart. Ad revenues down I think, 1.5%. But you called out that Joyn’s AVOD revenues were up by 39%. I just wanted to reconcile those two numbers and what were the other moving parts in Digital & Smart in the first quarter. And then the last question, just on the relationship with PPF, who has obviously launched a counter offer to double their stake. How would you characterize that relationship? Is it constructive? Are they active shareholders? And you obviously supported their bid. And what can you say in terms of your relationship and what they contribute in terms of being a shareholder? Thank you.
Martin Mildner : Thanks a lot for your questions. With respect to the first question regarding Verivox, you're absolutely right that we anticipated an EBITDA effect of €30 million for Verivox, which we now put out of our revised guidance due to the sale of Verivox. With respect to your questions of the Digital & Smart revenues, that we have a decline there, but a strong revenue growth of Joyn. The decline is mostly related to our smartstreaming Glomex advertising revenues. There we have an extraordinary effect on the Glomex business. In fact, they had a huge customer, which they lost in Q4 last year and which is still in the revenue streams of Q1 2024 and is now out in the Q1 2025. Therefore, the picture is a little bit not comparable at the moment on the Glomex business. And we see after the third quarter a balanced view on this. Of course, you know that the Joyn revenue stream is improving a lot and we are really happy about the development. Nevertheless, you know that this is still on a lower level than compared to the other revenue streams. Therefore, we are having a slight decrease, but a high increase in the Joyn revenues. And over the time, I think we will come back there clearly during the year into positive revenue streams on the Digital & Smart revenues. On your last question, the PPF counteroffer and our relationship with them, in general, I can say that both shareholder groups, not only PPF, but also MFE, we have a good dialogue with both of them during the year as we have also a dialogue with other huge shareholders in our group, but mainly with MFE and PPF. And this is always a constructive dialogue. Are they active? Both are not really active in what they are doing with respect to the impact on our company. I think they are clearly seeing this also as a governance perspective. Nevertheless, the representatives of both shareholders in the supervisory board are clearly active and they are clearly helping us in forming the strategy, but this is not only related to PPF. Klara Brachtlova, for example, is also running a TV business in the Czech Republic and bringing us a lot of good insights from their business. And the same is with Christoph Mainusch, who is a real TV expert. And I think the dialogue and the impact is really helpful, but this is the same for the MFE side. So therefore, I would not say that one is contributing more or less than the other one. I would think that both dialogues are really constructive. What we appreciated and I think this is also how you have to see our press release, it is a mathematical approach. €7 is more than €5.75 and therefore, we said we appreciate from a shareholder perspective, and if you have an offer which is €7, that this is more favorable than an offer than €5.75. And I think this was coming from a mathematical approach, but not whether we are more in favor of the one or the other direction. And what we also said is we always like, also if you would say it, that someone is appreciating our strategy and the management approach. Therefore, I think this is also something which we can easily say that we are appreciating these kinds of statements. But I would not say that, as I said, the one is more active or better or worse than the other one.
Conor O'Shea: Okay. Great. Many thanks.
Operator: We will take our next question, Nizla Naizer from Deutsche Bank. Your line is open. Please go ahead.
Nizla Naizer : Thanks. I have two questions from my end as well. The first is on the Joyn revenue. Could you remind us again how profitable this portion of the revenue is and what your target margins are at scale and when you expect to reach that? Some color there would be great. And second, on flaconi's strong growth. Could you maybe give us some color as to what's driving this? Is it a step up in marketing or promotion activity to drive more customer growth? Or is it expansion into new markets? And could this sort of 20% growth continue? And how profitable is flaconi now? Thank you.
Martin Mildner : Good morning, Nizla, and thanks for your questions. On the revenue, on the Joyn revenue, I think we’ve made a lot of times a statement that we are probably not like our competitors, are looking from an entity perspective how profitable is Joyn or how profitable is one of our TV channels. And I said it before, we are thinking that it is a combination of everything. So if we make a content investment, and this is what I stated in my speech, if we made a content investment, we are deciding not that this is a content investment of Joyn or of TV. It has to work in both and both have to be influenced by them. And therefore, we are not looking on Joyn on a pure entity perspective and seeing what Joyn’s revenues or what Joyn’s margin or profit is. We are looking from an overall perspective and looking that we have not Joyn, all ProSiebenSat.1. We are looking at it as we are saying it internally, it is Joyn ProSieben, it is ProSiebenSat.1 but it is an entire view. So therefore, we are not looking on a profitable basis only for Joyn. On the second question, with respect to the flaconi growth rate, of course, flaconi was entering into new markets, but they are also really successful in growing still in Germany and in the more mature markets. And we think it is a combination of retention of customers who are already acquiring from flaconi and to bring them back to another purchase and to approach through marketing activities for new customers with a good price relation to the competitors. And this is what we are always hearing. Is this then against the profitability? And as I said in my speech, the profitability of Joyn and the margin is increasing and it is not that we are selling our products only with discounts or for lower prices than the competitors. I think it is really a good marketing approach. It is a good approach of customers to bring them back for the next purchase. And so therefore, I would say it is a mix of everything. And with respect to the future outlook, the revenue growth is really, really good. Probably it will not stay in this high percentages but nevertheless, we think also 2025 will be a really good year from the overall perspective.
Nizla Naizer : Thanks, Martin. Very helpful.
Operator: [Operator Instructions] It appears there are no further questions at this time. Mr. Dirk Voigtlander, I would like to turn the call back to you for any additional or closing remarks.
Dirk Voigtlander: Thank you, operator. As we have no further questions, I would now like to close today's call. As always, my colleagues in the Investor Relations team and myself will be available for any follow-up questions shortly. I would also like to take this opportunity to draw your attention once again to the upcoming virtual Annual General Meeting, which will take place on May 28. Please also note that the last day to register your shares is May 21. Thank you and good bye.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.